Operator: Hello all, and welcome to DCC plc's final results to 31st of March 2024. My name is Lydia, and I will be your operator today. [Operator Instructions] I'll now hand you over to Donal Murphy, Chief Executive, to begin. Please go ahead. 
Donal Murphy: Thanks, Lydia. Good morning, and welcome to DCC's results presentation for the year ended the 31 March 2024. Thank you all for joining us this morning on our webcast. Here's our standard disclaimer. Thankfully, I don't have to read it out. I'm delighted to be joined today by 4 members of our leadership team: Kevin Lucey, Group CFO; Kevin has been our Group CFO since July 2020. Fabian Ziegler, CEO of DCC Energy, Fabian joined the group as CEO of DCC Energy in November 2022. Conor Costigan, CEO of DCC Healthcare, Conor has been CEO of DCC Healthcare since July 2006, and Clive Fitzharris, CEO of DCC Technology. Clive has been CEO of DCC Technology since September 2022. 
 On our agenda for today, I'll cover off the highlights of the year, which was an early period of good growth and development activity for the group. Kevin will take you through the performance review, Fabian, Conor and Clive will give you an update on the strategic progress across each of our divisions. We'll finish with our outlook statement and a summary before opening up our session for your questions. 
 So let's get started with the highlights of the year. This is DCC's 30th year as a public company, and it has been an early year of good growth and development and indeed, a year of excellent strategic momentum for the group. On our financial performance, we delivered good growth. We were pleased with this performance given the ongoing challenges in the macroeconomic environment. Group adjusted operating profit increased by 5.3% on a constant currency basis to GBP 682.8 million, driven by the very strong growth in DCC Energy. We delivered excellent cash generation with free cash flow of 100%. From a development perspective, we made really good progress in delivering on our strategy. 
 Since our results in May 2023, DCC has committed approximately GBP 490 million to new acquisitions predominantly in DCC Energy. We significantly strengthened our scale and capabilities in energy management services and strengthened our liquid gas business in Germany and in the U.S. The Board proposes to increase the dividend for the year by 5% to GBP 196.57 per share. This will be DCC's 13th consecutive year of dividend growth. The performance of the group during the year yet again demonstrates the resilience in DCC's business model, the benefit of our diverse sectors of energy, health care and technology, our strong market position and most importantly, that we invest in what the world needs every day. 
 I'd like to say a big thank you to my 16,600 colleagues whose capabilities, agility and commitment yet again delivered for DCC. Crucially, it has been a year of excellent strategic momentum for the group. In the energy sector, there is a real need for progress to cleaner energy solutions that are secure, affordable and sustainable. In DCC Energy, we are ahead of our 2030 target to double our profits following a year of great progress in delivering on our strategy. The share of our energy profits coming from our services, renewables and other activity increased to 35% in FY '24, up from 28% in the prior year and 22% in FY '22. We accelerated the expansion of our multi-energy offering through 9 acquisitions in France, the U.K., Ireland, the Benelux and Austria. After a period of reduced market demand, we are pleased that our health care business returned to organic growth in the second half of the year. We also passed material strategic milestone with 52% of our group profits now coming from non-fossil sources. 
 Finally, we announced in November that for the first time in our history, DCC has been issued with a public credit rating from Standard & Poor's Global Rating and Fitch. We have been rated BBB a solid investment-grade rating. DCC is always focused on building a growing, sustainable and cash-generative business, which consistently produces returns on capital employed well in excess of our cost of capital. This has been successful over our 30 years as a public company because we always look to the future for growth opportunity. We seek out the growth potential in our sector. We operate our business as well and help them to grow and progress. And we allocate capital prudently across our sectors to improve and scale our businesses. We invest and reinvest in essential solutions. Solutions the world needs today and into the future, which underpins our sustainable growth and supports our purpose to enable people and businesses to grow and progress. 
 We invest to grow our businesses organically. We invest in our sectors through M&A, which strengthens and scales our businesses, and we invest in our people to enable them to grow and progress. We operate and invest in sectors where we can see a very clear purpose, solving real needs with macro trends that provide us with growth opportunities. In the energy sector, we believe there is a real need for progress to cleaner energy solutions that are secure, affordable and sustainable. In health care, we see the world necessity for people to live longer and healthier lives. And in technology, we bring to market the products and services to make a progressive world a reality. We are making really good progress against these objectives. And to demonstrate this, I'd like to take out a number of developments from the year. 
 We have built an AI platform in primary care within our Healthcare division, focused on enhancing revenue and increasing customer longevity. We have invested in new product formats in our health and beauty business, including Gummies and Multi Stick packs. We have created market leadership positions in HVO and ultra-low carbon substitute product for diesel. We have scaled our Pro AV business into a global leadership position. We have developed our people processes focused on creating a culture of continuous learning and development across the group. By investing in targeted training programs, personalized coaching and active career management, we are building a highly skilled and adaptable workforce that is equipped to tackle current challenges and propel our future growth. 
 We are ahead of our schedule in implementing our energy strategy. During the year, we made great progress on our energy management services development and service offerings. Since the results in May 2023, we have committed approximately £490 million to acquisitions, the majority of which is dedicated to adding services for the decarbonization of our customers. These acquisitions not only expand our technological and service capability, but also strengthen our team with entrepreneurial people, enriching our group with their expertise and commitment to excellence. We've also strengthened our liquid gas business in Germany through the acquisition of PROGAS. The picture on the right is our new team from NextEnergy, an acquisition announced this morning, which transforms our offer to domestic customers in the U.K. market. Fabian will talk more about our energy development a little later. 
 DCC has a proven business model that has consistently delivered high growth and high returns over 30 years as a public company. Our group strategy has been consistent since we went public in 1994. Over 30 years as a public company, we have grown our operating profit by 14% CAGR, had free cash flow conversion of 99% delivered unbroken dividend growth to our shareholders of 13% CAGR, all while maintaining high returns on capital employed. If you invested GBP 100,000 in DCC plc when we floated 30 years ago, your investment will be worth GBP 6.4 million today. After 30 years as a public company, I believe we are only starting on our journey. 
 And finally, from me, I'd like to summarize our investment case. Our ambition is to double our profits by 2030, while maintaining high returns on capital. We will deliver this growth by leveraging our strong platforms in growth markets, our devolved and a powered management team, and we will continue to innovate and develop to deliver our growth opportunities. By doing all this, we aim to compound profits for shareholders by at least 10% per annum on average. We are a strong operator. Our first priority is to deliver on average between 3% and 4% organic profit growth per annum. 
 We are prudent capital allocators. We will consolidate our fragmented markets, leveraging our excellent M&A capability. We believe that, on average, this will deliver between 6% and 8% additional growth per annum. And our target is to deliver mid-teen returns on capital employed. We also believe that this growth will be self-funded given the strength of our balance sheet and the very strong free cash flow generation of the group. I'll now hand you over to Kevin, who will take you through the performance review of the year. Kevin? 
Kevin Lucey: Thanks, Donal. So Donal has covered the key highlights. So now we're going to look at the trading performance in more detail. So you'll see here on the slide, we recorded a revenue of £19.9 billion. We had a significant increase in the prior year when the wholesale cost of energy products increased, and we saw that unwind in the current year, leading to a decline in DCC Energy revenue and that driving the group reduction. In line with our expectations, group adjusted operating profit was £682.8 million, an increase of 4.1% or 5.3% on a constant currency basis. Adjusted EPS growth was very modestly behind the prior year or 0.9% ahead of the prior year on a constant currency basis. 
 As expected, our effective tax rate increased, but more materially the higher interest rate environment relative to prior year increased the cost of the floating element of the group's debt. As we guided, higher interest costs have been a headwind for earnings over the last 2 years. Our specific guidance on interest and tax and other items is included in the appendix as usual. But given where Central Bank policy is at the moment, we don't expect interest costs to be a material headwind into FY '25. As you know, we place great emphasis in DCC and cash generation, and we were really pleased to deliver a very strong cash flow performance in the year with over £680 million of free cash flow generators, up £110 million on prior year and an excellent 100% free cash flow conversion. Donal mentioned earlier, the proposed increase in the dividend 30th year of unbroken dividend growth since IPO. 
 On returns, return on capital employed remained strong at 14.3%, albeit lower than prior year. The lower return on capital employed reflects the organic decline this year in our Health and Beauty business and DCC Technology and the substantial capital deployment in recent years in DCC Healthcare and DCC Technology. From a net debt perspective, we finished the year at 0.9x net debt-to-EBITDA pre-IFRS 16 leases. The net debt position reflects the acquisition of PROGAS and e-Energy just prior to year-end without much profit contribution. So the metric looks a little better again on a pro forma basis. The balance sheet remains very strong. Looking forward, given the cash generation in the group and allowing for the acquisitions announced today, we would expect that we'll be at approximately 0.7x net debt EBITDA by end of year if we announce no further acquisition spend. 
 So looking at the high-level results by division, you can see that DCC Energy increased its profit by 9.9% to £503 million, 10.8% growth on a constant currency basis. DCC Healthcare profits were back by 4% to £88.1 million, down 3.6% constant currency. And DCC Technology profits declined 13.6% to £91.7 million back 10.7% constant currency. On the right-hand side of the slide, you'll see 74% of group's profits came from DCC Energy during the year, 26% from DCC Technology and DCC Healthcare. And in terms of the geographic mix, you can see Continental Europe accounted for 43% of profits. U.K. and Ireland, 36% of profits and the rest of the world, which is principally North America, 21% of profits. We go through the trading in each of the divisions in a bit more detail now. 
 So DCC Energy delivered very strong performance during the year and made excellent progress in further delivering on our cleaner energy and new power strategy. The growth in the year was driven by the Energy Solutions business with the mobility business, as expected, broadly in line with the prior year on a constant currency basis. Overall, we recorded 10.8% constant currency profit growth. Organic profit growth was more than half of this at 5.9%. We delivered very strong growth at strong returns. We saw our share of operating profits in the division from services, renewable products and services right to 35% from 28% in the prior year and 22% the year before that. Again, the detail is in the appendix. But in the year, from a product and service standpoint, 35% of our profits, as I mentioned, came from SRO products, 46% from our lower carbon products, such as liquid gas and then 19% of profits from our traditional products. 
 We reduced our Scope 3 customer carbon emissions by 3%, which meant we also lowered the carbon intensity of our profits again this year. Volumes were modestly behind the prior year, reflecting warmer winter weather conditions and weaker retail transport volumes in France. So as mentioned, our Energy Solutions business had a very strong year. Profits were up 15% constant currency. We had good growth across all regions by the U.S., where very mild weather was a particular headwind for our business there, given the customer base is largely domestic heating related. We had very strong growth in Continental Europe and in the Nordic region, where we saw good demand across our energy management services businesses, including solar and from commercial and industrial liquid gas customers, particularly in the Nordic region. 
 We also had a very strong performance in the Gas and Power business in France, as we also did in Ireland too actually where we saw a recovery of wholesale energy costs decreased relative to the prior year. In the U.K. and Ireland, we also had good growth. We benefited here from the acquisition of leading commercial and industrial solar business Centreco, particularly, and we also delivered continued growth in our liquid gas business. We continue to invest in converting commercial and industrial customers to liquid gas and also completed our liquid gas storage facility in [indiscernible]. We made acquisitions across each region in Energy Solutions, and Fabian will talk about that in more detail later. The acquisitions completed during the year performed well and accounted for almost half of the divisional growth with further benefits to come from these and the new acquisitions announced this morning in FY '25 and beyond. 
 I mentioned already that our mobility business performed in line with our expectations. The performance reflected a very competitive market in France, which impacted volumes and margins, particularly in Q3. We had good growth across the other parts of the business with continued growth in our digital service offerings and inconvenience. So in summary, we're very pleased with the performance of the Energy division for the year, continuing on for a number of years of strong performance. 
 DCC Healthcare returned to organic growth in the second half of the year, following 18 months of difficult market conditions for DCC Health & Beauty Solutions. For the division as a whole, operating profits were back 4% or 3.6% constant currency and 11.3% organically. DCC Vital delivered good growth and benefited from the acquisition of Medi-Globe in the prior year. We performed well across most regions in DCC Vital, particularly so in Ireland, Germany and France. U.K. was weak across both primary care and medical devices, reflecting a weak demand environment with the NHS experiencing a number of challenges, which curtailed patient care during the year. From a product perspective, we saw good performances across the gastro and urology categories.
 As reported previously, DCC Health & Beauty had a difficult first half on the back of a difficult prior year also. But we saw demand begin to improve over the second half, and we began to lap weaker comparatives. We've seen Europe recover a little sooner than the U.S. market, but we saw order books weaken initially in Europe before the U.S. And given the demand environment, we focused on new business development and on efficiency during the year, and we consolidated our smallest U.S. facility into our larger Flogas facility. It's pleasing to see the business recover office lows and return to organic growth. Conor will talk a little about the market outlook and longer-term demand perspective later. 
 In DCC Technology, as expected, revenues were back almost 8% constant currency, reflecting the weaker demand environment for consumer technology that we've seen for just over 12 months now. Operating profits were back 10.7% constant currency, reflecting modest negative operating leverage. Whilst clearly, the market has been challenged. The team has been working very hard to ensure we deliver the best profit result possible with costs flat on a like-for-like basis despite the significant inflation we've seen. The weakest areas from a profitability perspective were all in the consumer-focused areas, in particular in Info Tech in Continental Europe and Life Tech in the U.S. B2B demand was more robust. Notwithstanding the revenue decline in our Info Tech U.K. operations, we delivered good profit growth with efficiency and optimization efforts paying off, and we also performed well in Ireland. Clive will talk a little later on how these efforts will continue into FY '25 and beyond as we seek to drive profits and returns from the division. 
 This slide looks at it all from a group level. So in the waterfall, you can see that the overall growth in profits up to £683 million. Sterling strengthened relative to the prior year against a number of currencies. So as we guided throughout the year, we saw an FX translation headwinds of 1.2%. M&A contributed 4.5%, principally Medi-Globe in DCC Healthcare and Centreco and DCC Energy. It's worth pointing out that a lot of the acquisition activity during the year completed later in the year, including PROGAS, e-Energy and obviously, more recent acquisitions such as NextEnergy. So these are not fully reflected in the current year results. 
 Finally, organic growth was 0.8%. We achieved this organic growth despite the significant headwinds we had organically in DCC Healthcare and DCC Technology. I've mentioned it already, but we had excellent free cash flow conversion of 100%. We continue to invest in the business organically during the year, the notable CapEx investments were investments in new customer installations in our Energy Solutions business and upgrading our retail site network in mobility, improving our EV and convenience capability, which in turn helps with our SRO profitability. We also invested materially in our Health and Beauty manufacturing facilities to add new capability and capacity in what will be a long-term growth market for us. We recorded an inflow in working capital driven by strong performance in DCC Energy and also good performance in DCC Technology. 
 And so to finish just to mention the consistency of performance and the consistency of cash flow generation we've had. So regardless of what period you look at across our 30-year history in the public markets. You'll see in the appendix to this presentation, we have a cash flow. We have our cash flow this year set against our 30-year cash flow. You'll see that the 100% cash flow conversion this year mirrors what we've done across our history. So whilst [indiscernible] changed and progressed and grown over our 30 years as a public company, we've continued that consistent cash generation, which is a hallmark of DCC and one which enables us to look forward with confidence. And now I'll hand you over to Fabian. 
Fabian Ziegler: Thanks, Kevin. We are proud of our strong profit growth and progress with strategy execution. This slide is a reminder of cleaner energy in our Power launched last May and presented deeper at our investor event in Paris. This strategy is our constant and we are delivering it ahead of schedule. The [indiscernible] trusted partner to our 1.7 million customers supporting them through the energy trilemma. We provide decentralized energy solutions combining molecules in blue and electrons in green. In our internal change, we reduced the carbon intensity of our liquid fuels business by ramping up HVO and second-generation biofuels to replace diesel and heating oil by maximizing our liquid gas position at a lower carbon alternative and we drive more renewable liquid gas offers. 
 In our more external change, we have made huge progress building the leading European Energy Management Services business, the green box on the right-hand side. We are ahead of our 2030 target. The cross-sell energy management options into our liquid fuels and gas customer base. We developed multi-energy solutions in many markets. We also progress in our mobility business. We just won the Best EV Hub in the World award for our [indiscernible] site in Norway. We now have HVO pumps on 90 mobility sites across our network in Europe. In Ireland, we launched HVO on [indiscernible] this year and we run a campaign with [indiscernible] that was high profile. Our strategy is about winning with our customers, growing customer footprint and share of wallet. 
 3 key messages on this slide here. You know our metric SRO, which measures the proportion of profits from services and renewables, essentially no carbon formats. We have grown this to 35% from 28% last year and 22%, 2 years ago. The bulk of the growth is coming from solar installation and renewable electricity. We are one of the few companies that manages to decarbonize by growing and retaining high recounts. In the middle of the chart, you can see that we keep seeing returns from our almost 20 renewable acquisitions that are aligned with our traditional fort sales accounts. The left-hand side shows the return at the time of acquisition. And on the right-hand side, you can see the up-to-date return. Let me add that the 15% is an underestimate as our only solar distribution business was affected by the drop in panel prices during the year. Excluding this, ROC increases to 18%.
 Most important is that we consistently grow our renewable customer sales and marketing capabilities. We re-exposed our energy business to fast-growing segments of the energy sector, and we gain customers and share of wallet. We strengthen our renewable energy marketing capability. We have become the leading marketer of HVO across Europe. We reached 150 megawatts of solar installation capacity across Europe. We launched a revised brand in France and a Europe-wide umbrella for international customers. In the U.K., we have reached a stage where we can offer full suite of decentralized energy management offerings, including engineering and digital solutions. The cement and people existing key customer relations as well as gaining access to new customers. We replicate with multisite customers such as the French hypermarkets. 
 We gain this blue-chip customers, building our international accounts capability for instance, with AWS or the H2 and we made really nice HVO customer gains. This all gives us confidence that we will manage to accelerate our organic growth, gain market share and grow our lifetime customer value, which leads me to the last chart which shows that we are ahead of schedule to reach our 2030 long-term ambition to double profits with half the carbon. The acquisition boxes for liquid gas and for EMS are pro forma full year '24 numbers, whereas the organic growth is actual. For lower carbon liquid gas following our deal for progress in Germany this year, we are very confident that we will reach or exceed our targeted growth to 2030. We are 40% of the way to our EMS acquisition target after only 2 years. 
 And as part of that, today, we are announcing the deal for NextEnergy. We have been consistent in saying that we see the bigger immediate opportunity with [indiscernible] customers who will move more quickly than domestic customers. But the biggest opportunity today is in domestic is the government-backed retrofit market. We have acquired the market leader in the U.K., NextEnergy, which has an addressable government-backed market of 16 million homes out of the U.K.'s 20 million housing stock. The business provides retrofit services such as insulation, heat pumps and solar, and this business will lead our domestic multi-energy offering in the U.K. 
 The focus now is on really driving organic growth. We are well positioned with strong supply partnerships and growing customer demand in HVO. We increased our biofuel supply by more than 3x this year from just under 60 million liters to over 150 million. In EMS, we have a unique EU-wide installation capacity and work to assemble our acquired capabilities to offer differentiated customer value propositions. As we continue to integrate our multi-energy offering, we will continue to win with our customers, grow profits and enhance returns. Thank you, and I hand over to my colleague, Conor. 
Conor Costigan: Thank you very much, Fabian, and good morning, everyone. I'm delighted to have the opportunity to update on the strong strategic progress we are making in DCC Healthcare. The health care market has been and continues to be a long-term growth markets, averaging mid-single-digit growth rates across our sectors. The fundamentals remain attractive, favorable demographics, health care policies and consumer trends. The health and beauty market challenges over the last couple of years have now bottomed out. As you heard earlier, we're back in growth in H2 of this year, and we expect to generate good growth in FY '25. 
 Kevin described earlier the trading conditions are challenging throughout most of FY '24. However, we are continuing to make strong strategic progress. We are strengthening our divisional and business leadership teams, enhancing our old structure to increase our agility and improving the quality and robustness of our 3 international growth platforms in medical devices, primary care supplies and contract manufacturing of nutritional products. Each of these platforms have the potential to scale significantly at a global level. In Medical Devices, following the acquisition and integration of Medi-Globe, we are now a leading player in Europe across Ireland, Britain, France and Germany. We have particular strength in gastroenterology and urology, higher growth segments of the health care market. 
 And we are making good progress with the launch of the Medi-Globe gastroenterology range in the U.K., leveraging our existing market access infrastructure. We're also expanding and accelerating the development of our own brand product pipeline. In primary care supplies, we have leadership positions in Britain, Germany and Switzerland, and we have ambitious plans for further geographic expansion. We are continuing our strategic investment in our primary care technology platform across ERP, digital sales and AI, an exciting project, which Donal referred to earlier. This provides an enhanced platform for growth, improve customer experience and efficiency. 
 Today's investments in technology have been primarily focused on the U.K. market, but the rollouts to our German business is now also underway. Primary care is a fragmented sector across Europe, and through building strong foundations in technology and distribution infrastructure, this will allow us to augment our organic growth synergistic plug-and-play bolt-on acquisitions. In Health and Beauty, we are a leading contract manufacturer of nutritional products in both the U.S. and Europe. As you know, the market has been tough for all CMOs over the last 2 years, we believe we've weathered the storm better than most of our competitors. We've been operating successfully in this sector for more than 25 years. The market has been a long-term growth market, underpinned by positive long-term trends, increasing consumer interest in health and lowness and proactive health care, increasing regulation of the nutritional supplements market, which favors well-resourced CMOs like DCC Health and Beauty Solutions. 
 The market is projected to return to consistent mid-single-digit growth over the coming years, and we are confident of the long-term outlook for the market and that our businesses will generate good growth and increasing returns. And we've invested with our positive future outlook in mind. We completed 2 gummy manufacturing lines during the last 12 months, serving the U.S. and European markets. We are enhancing our capability in stick packs for the U.S. market, a key packaging format for the growing pile nutrition category. We have enhanced our sustainability credentials with investment in renewable energy generation of our facilities. And we're also enhancing our leadership and demand creation teams to leverage our new product format capability and to better exploit the cross-selling opportunities across our customer network. 
 In conclusion, we are excited about the prospects for DCC Healthcare, driving organic growth and return on capital employed improvement in FY '25 and beyond. As we see the benefit of the investments housing facilities, onboarding new business and driving capacity utilization, the investment in our primary care technology platform and accelerating synergies from the recent European acquisitions in Medical Devices and primary care. Now I'll hand over to Clive. 
Clive Fitzharris: Thank you, Conor. Good morning to you all. Technology has a central role in improving the world and our lives. We are an enabler between leading technology brands and the people and businesses to need those products and solutions. DCC Technology brings solutions that enhance experiences, save time and improve lifestyles. Our ambition is to be the leading specialist distributor in each of our chosen markets. While the recent market backdrop for technology spend has been challenging, we expect the market to improve through this year. Over the longer term, we are confident in market growth averaging 3% to 5% per annum. 
 We have focused the division on the growth and development of our specialist distribution segments of Pro Tech and Life Tech. They are faster-growing segments requiring higher value add and providing more attractive margins than Info Tech. In FY '24, we increased our overall gross margin percentage by 80 basis points to 12.4%. We also brought our operating costs just below the prior year. We are already the #1 specialist distributor in Pro Tech in North America and continue to grow our share organically. We are also investing in new capabilities, adding to our market-leading platforms. Under a single North American leadership team, we are combining the back ends of the Jam and Almo businesses to deliver efficiency and cost benefits in operations and support services. We are also launching a commercial excellence program to deliver enhanced customer and vendor experiences for profitable growth and improved returns. I am confident that these plans will materially benefit divisional profitability in the coming years. 
 In Info Tech, our U.K. improvement plan is delivering in line with expectations with stronger gross margins and good cost control. As previously announced, we have consolidated our warehousing, and we have reduced head count by 10% alongside commercial improvements. We will continue to optimize our Info Tech businesses in the U.K. and Mainland Europe as markets stabilize through this year. With our plans in North America and in Info Tech, I'm confident that divisional profitability and returns will grow materially over the medium term. 
 In summary, my 3 takeaways are: we have established market-leading positions providing progressive technology the world needs with opportunities for further improved margins in growth and operating terms. I see demand recovering as this year progresses towards our long-term growth trends. And our decisive action plans in Info Tech and now in North America will bring material profit growth for the division. Now back to Donal. 
Donal Murphy: Thanks, Clive. So just before we open up to Q&A, our outlook statement for '25. DCC expects the year ending 31st of March 2025 will be a year of strong operating profit growth and continued development activity. So just to summarize, in DCC's 30th year as a public company, it has been an early year of good growth and development and indeed, a year of excellent strategic momentum for the group. We are delivering on the significant opportunity in decarbonization, and we continue to be focused on the future, executing our strategy and embedding sustainability across the group. After 30 years as a public company, I believe we are only starting on our journey. Thank you for listening, and we look forward to answering all your questions. 
Operator: Thank you. [Operator Instructions] Our first question today comes from Rory McKenzie of UBS. 
Rory Mckenzie: Just 3 questions, please. Firstly, on Energy Services, renewables. And I think there's rough about 37% year-over-year FY '24. Can you confirm that, that was about an 18% contribution from M&A and therefore, nearly 20% organic growth. I mean can you give more detail about the drivers of this, how much was placed in sales for example? And what do you think the key metric is the track there? Will you be disclosing, for example, and how many megawatts of solar you install over each 6-month period? 
 Secondly, on the carbon-based energy profits, it looks like they were down about 5% year-over-year in H2 with a little bit of pressure on both volumes and margins? And how much of that would you say with the impact of the milder weather or product cost, and what should we expect for those carbon-based energy profits in FY '25. And then finally, on technology, which is still under pressure. We can see you've expensed the restructuring costs in the year. So can you give more details about where you're rationalizing or changing the business? And whether there are any parts of the market you think are structurally not really going to rebound. 
Donal Murphy: Thanks, Rory for a comprehensive set of questions. And just I suppose starting with the Energy business and the SRO and the key area for growth, as you say, and very strong organic growth has been in the energy management services and as Fabian called out we installed 150 megawatts of power during the year. That's actually 2,500 customer installations during the period, and it's predominantly within the commercial and industrial side of the market. Fabian, I don't know if you want to add anything to that, but it's a rapidly growing part of our market. 
Fabian Ziegler: I totally agree. I just want to point to the exposure we now going to growing segments of the energy markets. I mean, solar, for instance, we expect to demonstrate growth rates above 10% for the years to come. And this enables us to sit in a-- say, growing market. And we also have a superior capability to gain additional customers gain market share and penetrate the share of wallet by offering our customers multi-energy applications, the demand for which we keep seeing growing and getting better. So a good combination of acquisitive but more and more focused on organic growth. 
Donal Murphy: And Rory, on the liquid-based fuels and the carbon part of the business, as you described it, you're quite right. It was a milder winter. However, again, over the last number of years, DCC has very clearly diversified its energy business. So you can see the benefit if we were here a number of years ago, and we had the mild weather conditions that we had during the second half of the year, we will probably be talking about a different set of results. So the diversification within energy is really delivering for us. And Kevin will just talk you through the numbers for the second half of the year. 
Kevin Lucey: Yes. Thanks. Rory, thank you for the question. A couple of things to point out, really, just on kind of the H1, H2 piece. I mean, I think you probably remember this time last year, I guess, we were coming off the back of a very, very strong H2 performance last year. So we very much guided that while we saw good growth in H1, but H2 was likely to be a very, very high bar organically for us as a group. So I guess the results in H2 are pretty much exactly in line with what we had expected. The decline in profitability is modestly driven by the mobility business actually and not so much around weather, I'll come back to weather in a second, but you'll remember again that a Q3 time, we were updating you and again, actually at H1, we talked a little bit about the competitive pricing environment in France, our most material mobility business and how that was having an impact on volumes and margins. 
 And we were glad to see that as H2 progressed, that market began to normalize and volumes and margins began to come back to where we would have seen them historically. So there was probably a little bit of temporary disruption there. And whilst weather still material for us, it was really just regionally an impact in North America, and we would have seen that very clearly in our performance of volumes in North America were back 7% or 8%, really just down to weather, Rory. So there was an impact there, but we had very strong performances on the other side of the coin from our Natural Gas & Power businesses from our liquid gas business across commercial and industrial customers. So I think the weather, not as material as you might have thought and maybe more driven by the mobility piece in H2. 
Donal Murphy: Thanks, Kevin. Just on the technology piece. And again, and Clive will talk about this a little bit more. But the market clearly has been very challenging, and we've not been kind of sitting back waiting for the market to recover a very clear on taking self-help. We've been talking about that area for a while. In terms of the investments we've made within the U.K. market. And as Clive outlined earlier, we're taking that now into North America. I'm not assuming that we're going to get a bounce back from the market, certainly in the short term. 
Clive Fitzharris: Yes, Rory. So to give you a little bit more color on that, as I said, the U.K. is progressing well, and we're delivering growth in a difficult year, both in cost and in margins and plans to continue that in the year ahead. North America, we see material benefit bringing the back end of Jan and Alma together, particularly on distribution and transportation. And we're already making some material gains in our costs in those areas with more to come into this year and the following year and also leveraging the scale of our sales capability across North America for margin and top line improvement. I think you also asked in relation to is it a market that we see as more structurally difficult. And while we're making material improvements in Info Tech will continue to review options within businesses and certain businesses as we continue to improve those businesses. Thanks Rory. 
Operator: Our next question comes from Colin Grant of Davy. 
Colin Grant: A couple of questions actually on your health care division, if I could. Just firstly, in terms of the return to organic growth in EBITDA that you've highlighted in H2 after the period of destocking that took place. I wonder if you could just give us a bit more color on what you're seeing there, what's driving this and how it might develop looking out into the current fiscal year? That's the first question. And then the second thing really just relates to the organic investments that you've been making into the Healthcare division. You've outlined a number of those. I wonder if you could update us on where we are with those. And I suppose just to help understand how those investments might bear fruit for you in a recovery in demand looking ahead? 
Donal Murphy: Yes. Thanks, Colin, and I'll hand you over to Conor to take you through both of those questions. But just to say, like, obviously, it's been a tough period for health care over the last 18 months or so. But we've got to put it into the context of we had 2 years of 34% year-on-year growth, half of which was organic. So through the COVID period, we had very strong growth within the health care sector and the sector that grows at kind of 5% to 6% per annum. And our confidence has never waned in health care, and that is demonstrated by the investments that we made throughout that period. So while it's been tough, and it's been tough on the teams on a week in week basis when we're struggling to grow the profits. We were very committed to making investments to really position this business for very strong organic growth as we go through the next number of years. Conor? 
Conor Costigan: Yes. I mean the market recovery is essentially driven by the destocking period coming to an end. As people know and Donal has outlined, that was a significant spike in demand. And I suppose, consumers, retailers, brands, all got themselves into an overstock position on the back of that, and it's just taken some time for that to unwind. And obviously, we've seen that happening over the last week or a while, and that's evidenced by the level of interest in getting back into product development, getting back into new product launches and innovation pieces really is our stock and trade and how we've built the business. So the market experts would predict that the market will return to consistent mid-single-digit growth over the next couple of years and beyond. And certainly, that's our expectations as well. The fundamentals that have driven the market and that we've enjoyed over the last 20 years all remain. 
 In terms of your second question on the investments, we're very pleased with the progress we've made there. We've put in some really high-quality infrastructure, particularly into our U.S. facilities, which are relatively recent acquisitions. We now have completed and commissioned the 2 gummy lines, larger line in the U.S., but also one in the U.K., both producing commercial products for some months now. And our focus with those lines is really on complex formulation gummy business. So we're not interested in the kind of volume end of the market, really interested in the kind of higher value add, more engineering business in the complex end. 
 And then our Stickpack project in Minnesota, that's on track for completion in the middle of this year. And again, Stickpack has been a higher growth segment for the powder nutrition sector. And we will have a highly automated, highly sophisticated plant on the back of this investment. So over the coming years, as demand recovers as we build out our new business development and drive up the utilization of the kits that we've put in place that will have an obvious benefit on our profit growth and particularly on our returns over the coming years. 
Operator: Our next question comes from Annelies for Vermeulen of Morgan Stanley. 
Annelies Vermeulen: I have 2 questions, well, 2.5 really. So firstly, on the M&A pipeline. Clearly, you've done a lot of M&A this year ahead of your average annual target £300 million to £400 million. How do we think about that for full year '25? Should we expect to see you exceed that target again based on the pipeline you have in front of you today? And can we expect an ongoing focus in energy? Or are you also looking at businesses in health care and tech at all? And then could you remind me on multiples in Energy Management and Renewables? How do those compare for the deals that you've done recently to the deals you've done historically on average across all the divisions in the group over the years. 
 And then secondly, on your returns on capital employed, historically, this has been a key focus area for you, and we've seen returns decline for a number of years now. How confident are you in your ability to return to a high teens return on capital employed? And do you expect to make positive progress on returns in 2025? 
Donal Murphy: Thanks, Annelies, and 2.5 questions are good. So look, on the M&A pipeline, and we're really pleased with the £490 million of spend in the year just gone. We are very ambitious to put capital to work. And I think between the strength of the balance sheet and lease and the 100% cash flow conversion, we're in a very strong position to continue to deploy capital. As we always say, M&A is sometimes a bit like the bottle so they come sometimes together and sometimes there's a bit of a gap. So it's always hard to call a number, and we never budget for a number for M&A, but I think we're pretty confident that when we look at the pipeline across the businesses, that there is plenty of opportunity for us to deploy capital. 
 We are, I suppose, accelerating because we really see the capability to accelerate growth on the energy transition side, and that's probably our #1 priority at the moment because we're building out that capability across the different markets and building leadership positions in the E&S space, in particular, and indeed, in liquid gas base. So that's a very high priority for us. We have a lot to do in technology and in health care from an organic perspective. But again, we are always active on the M&A front. But I think in terms of-- if I look to the next 12 months, the higher volume of acquisition spend will be in the energy space. 
 On multiples, if that was the half of the question. On the multiple piece, I think we're not seeing actually anything different than Fabian kind of outlined that in his presentation and the returns that we are buying these businesses at 15% returns on capital. So we're coming in, in a decent level of return. And we're typically buying a lot of these businesses. They're entrepreneurial backed businesses where we might buy 60%-70% of the business upfront. And the big opportunity for our partners, and we do become our partners is the benefit to scale and grow their earn out through the growth of our business as we leverage our customer base. So multiples are fine, and the growth opportunity for our partners is really strong. 
 And finally, on [ Roche ], we're very confident and Annelies about our ability to grow our [ Roche ]. We've had-- we've maintained [ Roche ], okay, it is back a little bit, but we've maintained Roche decent levels during a period where we've had really strong challenges from an organic perspective within health care and technology, and we believe both of those businesses will be in growth next year. And as we continue to scale the energy business, we're scaling the energy business at high returns on capital. So very positive about the return environment. 
Operator: Our next question comes from Sylvia Barker of JPMorgan. 
Sylvia Barker: I think you covered my first one to some extent. But just on Healthcare, growing at 4% organically at the profit level in the second half. So how should we think about the revenue in or the volume versus the margin as we go forward for this year? And then secondly, I appreciate that operating margin is obviously not relevant for most of the energy business. But when we think about your SRO activities, I suppose they are meaningful. So could you maybe just talk about what margin you generate on SRO and is there any differences between the different activities there? And then finally, on solar, you've got #1 positions in several markets. What market share do you think you have, especially in commercial? 
Donal Murphy: Okay. Thanks Sylvia. So just on the health care side, and Kevin, you might just talk about the revenue and growth and then Conor you might just put a bit of context on it. 
Kevin Lucey: Yes. Sylvia, thank you. I suppose from a revenue perspective, and in base from an operating profit perspective, our expectation is that we'd likely see mid-single-digit improvement in FY '25, Sylvia. I mean there's clearly operating leverage in the Healthcare business, in particular, on the health and beauty side, I think Conor referred to that a little bit earlier. So we would expect maybe as we go through 2016 and beyond the fact that we have been investing quite significantly in the capital base in Health and Beauty, and as we fully commission all of that capital during '25 that, that would give you operating profit leverage, if you like, or operating leverage through the system in kind of back end to '25 and into '26. But I suppose our expectation to 25% would be more in the mid-single-digit level. And I suppose with an expectation that we can improve from there in '26 and beyond. Conor, do you want to add anything to that? 
Conor Costigan: Yes. No, look, I think that covers it. I mean I think, generally, obviously, as we said, our markets are mid-single-digit growth markets, obviously, that has been market recovers its stepping back towards those kind of growth rates, and we're obviously very well just up to benefit from that and a lot of focus now on building out our demand creation, which will drive our capacity utilization and drive our returns and profitability and help us build this… 
Donal Murphy: On the SRO piece, Sylvia you rightly point out, actually, there's quite a range of activities within our SRO business and ranging from kind of margins on solar install of 10% to 15%, up to 30% plus on energy management services. So Fabian, you might just talk a little bit about the solar and the market positions and shares that we have in the solar market. 
Fabian Ziegler: I was going to say is the exact same thing that you need to be composed it. And the great thing about SRO is that it replaces fossil and normally, we see higher margins. Growth is close to the margins we see in solar, indeed, 15% in France 10% in the U.K., good margins as well. Also, if you look at margins on biofuels, these margins tend to be much higher than any margin we see in the fossil space. Interestingly, we spoke a bit about our EV business in Norway. In Norway, in the mobility business, we make better margins on electrons and fossils. So I do believe across the board, our exposure that grows into [indiscernible] margins and up returns. 
Donal Murphy: And just on the solar market shares? 
Fabian Ziegler: I mean, it's to the team of 10% to 15% in the B2B markets. We see ourselves as leading in France, we see ourselves as leading in the U.K. We are probably #2 in Ireland. We have just acquired the Secundo, a really strong company in Austria, which we believe is #1 or #2. So we are really working to become this European rights B2B [indiscernible] EMS player that has scale, that is a strong partner to international customers and essentially a business model. Not many other people are having. 
Donal Murphy: Thanks, Fabian. And again, Sylvia, as we progress, obviously and scale in these areas, we'll be giving more disclosures to the market going forward on these areas. So you'll have more detail to come in the coming years. So thanks, Sylvia. 
Operator: The next question comes from Ryan Jack with Jefferies. 
Unknown Executive: Three from me, please. So first one on Manage Division, the 75% that is volume driven. We've seen principle jump to 2.49 from 2.22. Is that just mix in the biofuels that you've kind of alluded to? Or is there anything else at play there? Secondly, on Info Tech, you've made some comments about the lower margins that we're all aware of. Is there any way you could quantify that where we are at the moment and where you think you can get that business to on margins given the transformation. And then lastly, on the back of an earlier question. Obviously, back with the '24 vision, you alluded to £1.5 billion to £1.8 billion M&A spend and £180 million in organic EBIT was that? I guess given your deployment, is that 180s going to look soft? 
Donal Murphy: Great question, Ryan. All right. On the energy piece, and maybe Kevin will give you the display. And again, Fabian will just put a bit of context on it. 
Kevin Lucey: Yes, Ryan, and thanks I think you're sort of benefit, I think you're alluding to some additional disclosure we've made this year just around kind of how much of our energy business is correlated to top line volume growth versus sort of more traditional revenue areas. So I think, Ryan, the continued margin progression there really is we've seen solid margin performance around the business. But I think in particular, there's a little bit of mix, Ryan, going on, where a lot of the growth we would have seen in the year in that area has come from kind of the liquid gas areas and maybe the natural gas side of things rather than the traditional oil products and so those tend to be higher margin than the oil distribution activities. And so, with a good performance in those areas, the mix will benefit. And that's the principal reason. I would say we're satisfied with margin performance right around the energy business, but I think that the particular change there or improvement there is really mix driven. 
Donal Murphy: Anything to add Fabian? 
Fabian Ziegler: Yes. I might add Ryan, that our business model emphasizes really margin management, the laser sharp on operational cost in all our businesses out there. The price-- many of our products out of a central hub based in [indiscernible] so I think there's a lot of mix, but there's also our operations and our margin mindset and a lot of discipline when it comes to pricing, operations, margin management. 
Donal Murphy: Super. Thanks, Fabian. Just on input and I'll hand over to Clive. But just to say, Ryan, like we are very confident about the recovery within the overall technology market. We've been through the cycles in the past, one of the benefits have been around the industry for a while. And in ways, we've had a bit of a double whammy of a weak consumer and no kind of must-have technology products coming out during the period as well. So the self-help we talked about earlier is just so important to us. So looking for improvements at all line levels of gross margin cost and bottom line, but most importantly, to drive our returns up back to acceptable levels within the industry, and we're very confident. You want to do that, Clive? 
Clive Fitzharris: Yes, need. And the gross margins in Info Tech are around about 8%, something of that order, and we see a more modest improvement in those gross margins, but certainly top line improvement in the Info Tech side as the market recovers. Overall, and from a divisional perspective, Pro Tech is about 15%, and then our Life Tech is more of 20%. So with stronger growth in those areas, you'll see the margins overall of the division saying and improving above the current levels. 
Donal Murphy: Thanks, Clive. And our target are soft, Ryan. I think, look, we have and we've called out that actually we're ahead of schedule on the energy side. And that's a good place to be. For the time being, we are very ambitious to grow this business. And I think hopefully, you know as well enough that said when we set targets, we set targets to beat them, and that's our goal is our focus. Thanks, Ryan. 
Operator: The next question comes from David Brockton with [indiscernible] 
Unknown Executive: Can I just ask one around sort of the technology business sort of just following up on that last question. Can you just sort of confirm that sort of the demand environment you're seeing today is now more stable? I just noticed a sort of smaller period talking about further mid-single-digit declines they're seeing in the U.K. and Ireland through the beginning of this year. And maybe just sort of-- just if you're able to sort of flesh out more of the sort of the path of recovery from a top line perspective that you would hope to see through 2025. 
Donal Murphy: Yes. Thanks, David. No, we noted that one this morning as well. So I'll hand you over to Clive. 
Clive Fitzharris: So I suppose, firstly, David, calendar Q1 this year has been weak. It's been in line with the full 12 months for us, the same pattern throughout the year. Q2 in our own business is-- and it's early, but it is more stable, and we're looking at more of a flat performance in Q2. While it's harder to do projections in the current environment, our view is very much the back end of the year and certainly to the back end of our year into calendar Q4 and the start of next year with more macro stability and political stability that will be a return, particularly on the corporate spend side, and there should be strong growth in the back end of the year, in line with the long-term trends that I talked about in my presentation. 
Donal Murphy: As we said earlier, the tech industry has always been a growth industry, but it does go through cycles, both the economic cycle and the product tech cycles as well. So we need a couple of holes to converge anyway. Thanks, David. 
Operator: The next question is from Chris Bamberry with Peel Hunt. 
Christopher Bamberry: Just wanting to check a follow up on my answer on technology. Does that mean the rate of decline in Q4 was worse than the rate of decline in Q3? Secondly, what are your customers saying about this year across the 3 segments in technology. And finally, UGI recently decided to retain its Americas business. Any thoughts on how that may or may not impact the North American market? 
Donal Murphy: Okay. Maybe I'll take the last one just for saying we won't obviously comment on competitors' businesses. But I think we see the U.S. market has been a big growth market for us going forward. We've made good progress over the last number of years, and we certainly continue to expect to deploy capital over there. We'll let UGI do what UGI want to do with their business. Clive? 
Clive Fitzharris: So between Q3 and Q4 is similar. It's the same. There's no difference really-- what are our customers saying very similar to ourselves. They're optimistic about the back end of the year and the projects are coming back, particularly in North America. We see it in our Pro Tech business, a very good April versus a weak April in the prior year and a reasonable start to make. So I think similar to what I was talking about. 
Operator: The next question comes from Daniel Cowan with HSBC. 
Daniel Thomas Cowan: Two questions. One on the working capital, please. Just wondering what went so well in working capital. Perhaps you can just talk us through some of the moving parts of that and what you'd expect for the current year? And the second one, I don't know how you want to answer this, but I'll ask it anyway. Just on-- in terms of capital allocation, other parts of the group, and I'm thinking perhaps maybe a bit of mobility or perhaps even parts of Info Tech in technology where you might be thinking of divestments sort of medium to longer term and perhaps being able to recycle some capital into some higher return areas. Those are my questions, please. 
Donal Murphy: Dan. Well, look, I'll start with the second one, and then we're delighted to ask the working capital question because it's been a super performance in the year and Kevin will come back and talk about that. Look, DCC always-- portfolio management is a key part of the way we have managed our group take you back a number of years ago, we had a food and beverage business. We had an environmental services businesses. And if we don't see any business within the group that has both the growth potential and the right returns characteristics, well, then we've got to consider it from a portfolio management perspective. So nothing has changed on that front. I'm not going to call out any areas specifically, but we look at the portfolio of businesses across the group through that lens all the time. And we do make those divestment decisions. So when-- if there's a business that we don't see with the growth potential, yes, well then clearly, we'll consider the options and redeploy that capital into higher growth areas. Kevin? 
Kevin Lucey: Dan, thanks for the question. When it comes to working capital, yes, I mean, look, we're pleased with the results for the year, Dan. I mean, as you know, I think we-- the way the mix of the group is at the moment and the most heavily negative working capital business is maybe being on the mobility side, where we've deployed a little bit less capital in recent years. We now have a positive working capital dynamics underlying the group. And therefore, as we grow our businesses, we tend to invest in working capital rather than throw off working capital. Now that being said, we're very pleased with the performance in the current year and the 100% free cash flow conversion is a really strong performance. 
 I guess on working capital, there's probably 2 things to call out, I suppose, one, on the energy side, this time last year, Dan, we had a very elevated wholesale cost of energy. And in our Natural Gas and Power businesses in particular, which are positive working capital businesses that manifested itself been quite an investment in working capital, which we've seen unwind as the year went on. So that's probably the one, the single biggest lots of ups and downs, particularly in working capital down. That's the one single thing that has probably made the difference in energy this year. 
 And I'd say the second area to call out is that obviously, with the volume decline that we've seen across the technology business from a revenue perspective. Clearly, our revenues are down, and we've been very focused on driving inventory levels down across the tech division and that was-- the team did a good job on that this year. So I think that's probably the other area for there's a notable improvement in working capital management over the course of the year. 
 So those 2 things combined were the primary drivers, Dan. And I think when it comes to FY '25, we would tend to be investing in working capital. So we would be expecting we'd have a modest £30 million to £40 million outflow in working capital for the year as a whole with a larger working capital is low in the first half and a working capital inflow in the second half, but a net working capital outflow of £30 million to £40 million. 
Operator: And our final question today comes from Thomas Burlton of BNP Paribas. Please go ahead.  
 [Audio Gap] 
Donal Murphy: Maybe he had to drop off. Thanks very much, and thank you, Lydia. And look, thanks just to thank everyone for joining the call today. Let's say we feel really good about the group 30 years as a public company and go back to my GBP 100,000 invested on flotation and GBP 6.4 million would be in your back pocket today. We think we're really well positioned not just the past, but for the next 30 years to come and a lot of exciting things in front of DCC. So thank you all for your time today, and we look forward to seeing many of you during the week. Thank you. Bye. 
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.